Geraldine Picaud: Good morning, ladies and gentlemen. And welcome to our Analyst Conference on the Full Year Results of 2024. I’m very excited to speak first about the highlights and give more color on the business trends and the performance by end market. Then Marta will give you more insights on the financial performance. So, in 2024, SGS delivered excellent results and achieved key steps of Strategy 27 at the same time. Sales and profitability reached the top of our guidance and the cash generation has been a record high at CHF748 million. We see this great momentum continuing in 2025 and I will come back to it in detail later, but we expect the organic growth and the cash generation to remain strong and the profitability to continue to progress. So, as just said, we have made solid progress on the three pillars of Strategy 27. First, on growth, you know that we have signed 14 highly synergistic bolt-on acquisitions since January 2024. They reinforced our portfolio, they bring complementary expertise and fresh talents to the group. I’m also especially happy with the launch of IMPACT NOW and the incremental sales of CHF100 million that we recorded in sustainability. Digital Trust is becoming more than ever an increasingly powerful driver for SGS, which demand continue to grow in AI and digitalization among our clients. Our other two pillars are also well on track. Our efficiency program has already significantly improved our margin this year with a full effect to be reached at the end of 2025 and we have also reduced our leverage to reinforce our firepower. So 2024 has been driven by our continued commitment to achieve this milestone you can see here on the screen. Starting with one single acquisition in Q1 ArcLight, we have been welcoming to the group more than four companies every quarter. In terms of organic growth initiatives, we made significant investment in environmental testing especially PFAS in the U.S. and launched IMPACT NOW for sustainability in November at our Capital Market Event. CHF100 million of efficiency plan has been executed and we announced additional savings of CHF50 million in November during the Capital Market Event. I want to take this opportunity to thank all SGS teams for their relentless work that helped us to achieve these strong results. Thanks to the successful relaunch of M&A, we have signed 14 bolt-on acquisitions. They all have a good strategic fit with synergies easy to implement. Half of them as you can see are located in North America and this is as you know part of a strategy where we have committed to more than double our sales by 2027. So since the Capital Market Event in November, we have closed also the acquisition of CertX, the leading Swiss functional safety and cyber security certification company. In 2025, we announced three more deals and you can see there’s Aster. Aster is a sustainability company which is specialized in the greenhouse gas emissions. We have also signed RTI Laboratories which provide environmental services. It adds on our capacity in the North America and the U.S., and Stella is an Italian company which has a strong expertise in customs. So I wish a warm welcome to all the employees of the new members of SGS. Sustainability. We’re very proud of the CHF100 million of incremental sales from sustainability. In particular, we have recorded a strong double-digit growth in climate-related services led by GHG emissions, verification and monitoring. Nature delivered a strong double-digit growth mainly to the all the PFAS testing in North America. We had great momentum and circularity supported by waste recyclability in Europe. And finally, ESG Assurance recorded double-digit growth led by increased demand in Asia-Pacific. Today, as some of you may know, is a Safer Internet Day in 150 countries in the world. This Safer Internet Day has permission to educate kids and family on how they can use Internet safely. In the world of today, there is obviously no need to demonstrate that Digital Trust is a strong driver of growth. With the huge investment in AI announced in the United States and in Europe, the cyber security demand is growing rapidly and in parallel our clients, our industrial clients, need support when they transform their plans to make them more digital. So we already have strong assets with Brightsight Network which has expanded in Asia-Pacific and in North America. We are also intensively working to enlarge our offer, the acquisition of Gossamer Security Solutions in North America and of CertX more recently in Europe have been key milestones to complete this objective that we have in cybersecurity, and others will come shortly. Let me now share some key highlights from our business lines and let’s start with Industries & Environment. An excellent organic sales growth of 8.3% was driven by all regions and services, particularly those related to sustainability. Environment continued to perform strongly with double-digit growth boosted by PFAS which delivered over 30% year-on-year growth globally. Double-digit growth in safety was supported by increased demand for Global Safety Solutions, particularly related to the protection against asbestos, noise and radiations on large industrial sites. All regions contributed to the growth and particularly strong performance was recorded in Asia-Pacific, Latin America and Eastern Europe, Middle East Africa. High single-digit growth in Projects & Advisory was driven by the new railway and mining projects in Latin America and large energy supply chain contracts were won in Eastern Europe, Middle East and Africa. Continued strong growth in Industrial testing was partly offset by the end of some low margin contracts in non-destructive testing which we have chosen not to renew. Finally, I would like to note that SGS has continued to play an active role in supporting clients impacted by the carbon border adjustment mechanism or what we call the CBAM regulation in Europe. Globally, we have strong expertise and we continue to see increased activity in GHG emissions, verification and monitoring, carbon capture and renewable energy. Natural Resources. Natural Resources continued to benefit from the strong momentum of the energy transition and delivered a strong organic sales growth of 7.6%. Minerals delivered a strong performance mainly fueled by double-digit growth in critical battery metals testing in the Americas where SGS has a recognized expertise. SGS continued to support companies and national governments in their transition to sustainable energy with multiple important projects we completed in 2024. In oil, gas and chemicals, high single-digit growth was driven by all regions with increased demand for inspection and laboratory testing services, as well as various contract wins in LNG, liquefied natural gas, across the U.S., China, Australia and Qatar. Strong growth was also recorded in agriculture, where SGS has diversified activities and a global coverage, despite a slowdown in Europe due to the new crop season. Let’s now move to Connectivity & Products. Organic sales growth in Connectivity & Products continued to accelerate in Q4 and we reached an excellent 8.2% for the full year. High single-digit growth in Connectivity was mainly driven by increased demand for product safety testing in Asia-Pacific and strong double-digit growth in wireless in North America. Rising production volumes and the implementation of upcoming chemical regulations in Asia-Pacific were key drivers of the double-digit organic growth in soft lines. Hard lines also delivered high single-digit growth, largely propelled by new regulation on Food packaging materials in the U.S., Europe and Asia-Pacific. Health & Nutrition, organic growth there was primarily driven by Food, which delivered a double-digit organic growth for the year. The strong performance across all Food markets was supported by stricter regulations and heightened Food safety concerns, which led to increased demand from Food -- our global Food brands and retailers. Strong recovery in pharma in H2 was driven by the biosafety and the bioanalysis testing, respectively, in the United Kingdom and France. Similarly, in Asia-Pacific, SGS successfully offset a still challenging R&D market by leveraging strong sales efforts and a well-positioned portfolio in the right segments. Cosmetics. Cosmetics delivered solid performance, supported by steady recovery in mature markets, such as the United States and Germany. Health & Nutrition will remain a key strategic focus for the group going forward. In 2024, we have embarked on an ambitious expansion of our laboratory activities, particularly in North America and in Europe, where we see significant growth potential. For instance, as an example, we’re leveraging the strong expertise developed by our pharma laboratory in Glasgow. We are launching a new state-of-the-art facility near Boston, Massachusetts. The new facility will specialize in testing biosimilars rather than generics, aligning with emerging industry trends and market needs. Let’s now review Business Assurance. Certification continued to deliver a strong performance and a double-digit growth supported by Medical Devices and Digital Trust services. Organic growth in ESG accelerated sequentially in Q4. Double-digit growth in 2024 was led by non-financial reporting assurance and social audits, as well as greenhouse gas emissions verification, where, as I mentioned earlier, we have a recognized expertise. The strong results were partly offset by a slowdown in training and a very unfavorable comparable in Consulting. Now, with that, I will hand over to Marta, who will present our financial performance.
Marta Vlatchkova: Thank you, Geraldine, and a very warm welcome to everyone. Let me start with the main financial KPIs in 2024. Net sales reached a record CHF6.8 billion, supported by 7.5% strong organic growth. The adjusted operating income of CHF1,040 million translated into 15.3% margin on sales, which is 60 basis points above the margin of 2023. The reported earnings per share of CHF3.10 grew by 3.3%, and this despite the restructuring expenses we incurred in 2024 to deploy our linear operating model. In addition, we generated an outstanding free cash flow of CHF748 million, up by 24% compared to 2023. Let’s now move on the next slide and see how sales compared to prior year. So, all-in-all, in reported terms, our sales increased by 2.6% to reach the record CHF6.8 billion. The organic growth of 7.5% was equivalent to CHF494 million. The scope effect was broadly flat, as the prior year disposals of the Automotive Asset Assessment and the Powertrain Testing services were compensated by the acquisition of Nutrasource in May 2023, followed by the successful closing of our new 11 bolt-on acquisitions in 2024. The Swiss franc continued to appreciate against all major currencies in 2024 and this resulted in a negative ForEx translation impact of 4.8%. And again, all-in-all, we delivered 2.6% growth in sales in reported terms. Let’s now further drill down in our sales growth by region. The Testing and Inspection division delivered strong 7.6% organic growth, while the Business Assurance division increased by 6.2% organically. Specifically, in Testing and Inspection, Europe grew organically by a steady 4.4%, supported by all major countries and all business lines. Asia-Pacific expanded by 5.8%, with high single-digit growth in Connectivity & Product, partially offset by the end of low profitability contracts in non-destructive testing. North America sales increased by 7.2% organic growth, further expanding in environmental testing, while pharma remained soft. LatAm expanded by more than 17% organically, with double-digit growth across all business lines. And finally, in Testing and Inspection, Eastern Europe, Middle East and Africa grew organically by 14.1%, supported by all business lines. Our Business Assurance Global segment delivered 6.2% growth, and I explained -- as explained by Geraldine just before, we saw double-digit growth in certification of management systems and strong performance in ESG assurance and audits. On the other hand, this growth was partially offset by the high basis of comparison in Consulting with Maine Pointe and a temporary slowdown in training in Asia-Pacific. Moving now to the adjusted operating income, we achieved in 2024 15.3% of margin on sales, an excellent year-on-year progression by 60 basis points. The adjusted operating income grew by CHF136 million organically, which represents 14% growth, close to double the organic growth of sales. This is equivalent to 90 basis points of margin improvement. Into that, we have 70 basis points brought by the disciplined execution of our cost savings program and we had 20 basis points coming from our net operating leverage. This strong improvement was partially offset by the negative ForEx translation impact of CHF70 million, which was equivalent to 30 basis points. Let’s now look more in detail in the ForEx. The Swiss franc is one of the strongest currencies in the world. In 2024, it continued to appreciate. This led to a negative ForEx translation impact of 4.8% in sales and 7.1% in adjusting operating income, translating into minus 30 basis points on our adjusted operating income margin as presented just before. Let’s now move to our operational efficiencies plans and we are very pleased with the very fast execution of the linear operating model and the procurement savings plans, and I can confirm that we are fully on track. All-in-all, they delivered CHF50 million savings accounted in 2024 alone and we will reach the CHF150 million savings -- cost savings run rate by the end of 2025. Let’s now look at the full P&L. The excellent 2024 results translated into an over-proportional growth of 5.5% of the operating income, which reached CHF904 million and this despite the CHF82 million restructuring costs, which we needed for the execution of the linear operating model savings plan. The financial expenses, as well as the effective tax rate remained broadly stable. And as a result, we achieved earnings per share of CHF3.10 to compare to CHF3 in 2023. Moving now to the free cash flow. We generated an outstanding free cash flow of CHF748 million. This is CHF144 million higher than 2023 and translated into the excellent cash conversion of 62%. I must say that aligning incentive at the beginning of the year with the group targets played a key role into driving further improvements in the net working capital and in maintaining a disciplined CapEx spend focused on growth. Let’s now move on the return on invested capital. We are very happy of the 24% industry standard ROIC, which we achieved in 2024. This is 2 percentage points higher than 2023 and it was really driven by the increased profitability and the value of creative acquisitions together with the disciplined CapEx spend focused on growth. Moving now to the debt leverage. Here, net debt, let me remind you, is the net debt including leases. So we had the leverage of 2 times in 2023 and we are proud of the improvement down to 1.8 times in 2024, really demonstrating the impact of the improvement of profitability and the outstanding free cash flow. This improvement reflects our commitment to maintaining a solid financial profile, which is crucial for supporting future growth initiatives and ensuring financial stability. Let’s now look at the dividend. We proposed a stable attractive dividend distribution of CHF3.20 per share and this underscores our commitment to delivering consistent returns to our shareholders. Additionally, this will be a script dividend, giving shareholders the option to receive the dividend in cash or shares. 2024 was a strong year for SGS from financial performance point of view, but it was a very strong year from non-financial targets progress as well. We remain focused on maintaining our strong ESG profile, even though we are essentially a non-polluting company. As a result of the good progress made in 2024, we are fully on track to achieve our ambitious 2027 ESG targets. In 2024, we have also maintained our position at the forefront of the world’s leading sustainability ratings and we are very proud to have been ranked as the first Professional Services company in the Dow Jones Sustainability Indices. And with that, I hand over back to you, Geraldine.
Geraldine Picaud: Thank you, Martha. Let’s now conclude with our 2025 outlook and I would like to give you a few words about 2025. So, we have the right performance culture with a high level of expertise and integrity. We have a diversified and balanced portfolio in terms of geography, but also in terms of end markets. And we have the right assets to benefit from the megatrends. So, in short, I believe we have strong foundations to capture all market opportunities. We expect sales growth to be in the range of 5% to 7% consistently with the 2027 targets. Bolt-on acquisition will add another 1% to 2% of growth. We see our profitability progressing by at least 30 bps or 30 basis points. I remind you that this includes the negative ForEx impact. We are in reported terms. So, this guidance is effectively well on track with our 2027 target, which leaves us on top a lot of flexibility to invest in innovation and organic growth. With this, I would like Ariel to come on stage to give instruction for the Q&A.
A - Ariel Bauer: Thank you, Geraldine. Thank you, Martha. So, we’re going to move to the questions-and-answer session. I remind you that this session is webcast, so please wait for the microphone and please limit yourself to two questions per participant. We’re going to take the first question. Annelies at Morgan Stanley.
Annelies Vermeulen: Hello. Hi, Annelies from Morgan Stanley. And two questions then, please. So, firstly, just thinking about the incoming U.S. administration and President Trump’s very clear stance against sustainability and ESG. Do you see any risk to growth in your business from that? I was thinking about Business Assurance, but anywhere else, perhaps? And equally, any offsetting factors from some of his other policies? And then secondly, just on M&A, given your conversations with Bureau Veritas earlier in the year, can we assume that your appetite for potentially larger M&A has grown and could we see you doing a larger deal beyond the 1% to 2% from bolt-ons that you’re guiding for in the coming months? Thank you.
Geraldine Picaud: Well, thank you, Annelies. Really the -- I’ll start with the second question about M&A. Look, we are in a very fragmented market. You know that the top 20 players don’t reach even 25% of market share. We are 160 billion. It’s many, many players. So, obviously, we have to look at everything that happens in our market and we will continue, but we will never do a deal that’s not bringing returns to our shoulders, that’s not fully consistent with Strategy 27. So, that’s the answer. With regard to Trump, we see, actually, a lot of opportunities and a lot of a -- yeah, a lot of help there. Because on sustainability itself, we see an increase in PFAS. You had this declaration of Mr. Zeldin that was appointed by Trump that said, the U.S. will have the cleanest water and the cleanest air in the planet. That means more PFAS testing for us. So, on the Environment, in 2024, we grew 30% in the U.S. I don’t see any slowdown there, really. So, no, I do think that, in the U.S. with environmental, that we put on the climate offering we do, and in nature, we do see a lot of growth potential. When it comes to the tariff with the nearshoring, we have also great opportunities to seize. And in Europe, regulations and standards, when it comes to TAG assessments, that we do a lot in Business Assurance, it’s growing double digits as well. So, we want to continue to position ourselves in these markets.
Operator: Will from Bernstein.
Will Kirkness: Thanks. Will Kirkness from Bernstein. Two questions, please. Firstly, just on the margin, I wondered why you settled on the 30 basis points plus. Obviously, you had very good momentum in the second half of the year, especially and you’ll get a run rate by the end of this year. So, I just wonder if you could talk through some of the puts and takes beyond FX. I know you mentioned some investments. And then the second thing, sort of linked to the M&A point, just thinking about the higher range of the organic growth target on a medium-term basis. Do you think a larger deal is necessary to drive the upper end of the range or can that be done purely with the shape that the business is in at the moment? Thanks.
Geraldine Picaud: Thank you, Will. Look, I think it’s -- the guidance on the margins is your point there. There might be potential headwinds arising from unfavorable macroeconomic or political events during 2025. So, this is why we have chosen to put our guidance on the conservative side. I think that’s fair to say. Now, with regard to M&A and inorganic growth and are large deals necessary, we’ll study any opportunity as we have to do. And again, we’ll appraise everything, and the risk of execution to everything will be appraised and evaluated properly so that we can deliver the returns to shareholders, the synergies that such a deal would have to have in it. So, don’t -- I mean, this is our -- we are in an industry that’s quite fragmented. So, we need to study small, mid, large deals that are happening in the industry, because scale matters. Scale does matter. And we want to be the global leader, continue to lead in terms of innovations, in terms of offering services to our customers. But we won’t take something that we are not sure we will produce the returns and the value creation.
Operator: Himanshu from Bank of America.
Himanshu Agarwal: Hi. Himanshu from Bank of America. Two questions, please. The first one actually following up from Annelies’ question around the deregulation. Over the last few years post-COVID, we have seen a significant increase in the number of regulations, especially around sustainability in Europe. But recently, we are seeing a change in that trend. CSRD has, regulators are considering simplifying CSRD and probably merging it with other acts and also in the U.S., the new administration wants to deregulate the economy. So do you see that as a headwind in the medium-term to your business? And second question on the free cash flow conversion, which was more than 60%, impressive in 2004. But still your guidance for 2027 is more than 50%. So how should we think about the sustainability of this improvement in CapEx, which was at 3.7% and the working capital going forward? Thank you.
Geraldine Picaud: I will give the second question to Marta that will explain to you how confident we are in the free cash flow and then I will answer on the questions about Trump deregulations in Europe, and well, in North America to start with. Marta, do you want to pick up the question?
Marta Vlatchkova: Yeah. Indeed, outstanding free cash flow and cash conversion. You saw the boost in working capital compared to prior year. It was more than CHF80 million. And as I mentioned, it’s the first year where we aligned our incentives to make sure that they’re balanced between growth, profitability and cash generation. It brought the focus in the company on cash flow to start with, and then on -- of course, on working capital. So this improvement that came, you should not see it constantly that we have a negative working capital and more we grow, more positive impacts there will be. It is just the reflection of this reset on the focus within the company. Now on CapEx, we are -- if you look at our net CapEx is 3.5% of sales and I think this is the right spot, because we are able, we are not missing opportunities with this level of CapEx. We are just making sure that we filter well all the projects that are coming and prioritize right the projects that deliver growth.
Geraldine Picaud: So I would say that we are on CapEx really prioritizing them according to Strategy 27, which is really the geographies that and the end markets that we’ve detailed on the Capital Market Event. So we are more focused now when it’s about CapEx, I would say. With regards to regulation, Trump and so on, the consumer demand is there Himanshu. There is no change there and that’s what matters, you know. I remember one of you saying during Capital Market Event, if Trump just completely delete or suppress the Environmental Protection Agency, what happens to your environmental business? Well, actually, it’s even better because then it’s replaced by the federal states regulations and standards, which are more stricter. So we don’t see actually any major impact when it comes to Trump deregulation. Look at the AI or this target AI fund of $500 billion. That is going to involve massive need for cybersecurity. So we’re going to benefit from that. So there’s a lot of opportunities in what Trump is implementing for us. And when it comes to Europe, CRSD what -- the CRSD was very complicated reporting. So there is a willingness to simplify it does not affect us because the underlying sustainable practices that we were testing for customers in Europe, they are still there. The consumers need it. Our clients need it because it was often bringing a competitive advantage. So companies would just don’t, you know, stop having sustainable practices. So we are actually seeing a continuous trend on the strong growth in sustainability.
Operator: Sylvia at JPMorgan.
Sylvia Barker: Hi. Good morning. Sylvia Barker from JPMorgan. Two areas of question, please. Sorry, a little bit boring, but just going back to the margins. When you talk about investments, how do you think about invest -- how do you think about the magnitude of that every year? And just on the cost savings, to be clear, is -- will you be reaching that as a run rate or is that the amount they will reach in year, in 2025? And then the second area around the organic in Q4. Did you see any benefit from pull-forward of demand, which is what we’ve been hearing from some other companies in other sectors ahead of Trump tariffs and could you quantify the impact from the Industries contracts that you have decided not to renew? Thank you. Sorry, it’s technically four questions, but two areas.
Geraldine Picaud: Okay. I’ll start with the end. You mentioned the contract that we’ve chosen not to renew. I would say that this account for a good 0.5% of growth. That would be the average amount. The Q4, you’re looking at it and thinking, is there a Trump impact or actually, you can see that we perform extraordinarily well in Q4 in the Connectivity & Products. So no, not at all. Q4 actually suffered from Business Assurance. So the Business Assurance business was hit by a very high comparable in Consulting. We have a Consulting business. Maine Pointe, it is in a turnaround mode. I explained it at the last calls we had and this we see continuing, by the way, in Q1. And it will recover in Q2 and will back to normal by the end of Q2. So that was one of your questions. The run rate is every initiatives will be implemented at the end of 2025. So this is a run rate that will be reached, not the full CHF150 million. And what else did you have in the question?
Marta Vlatchkova: The margin investment.
Geraldine Picaud: Do you want to take it?
Marta Vlatchkova: Well, the point on margin investment, you have seen in 2024, we had a net operating leverage of 20 points -- basis points. This already includes investment in expanding, for example, our teams in Medical Devices, Certification and several other initiatives. So it is part of our business to continue fueling the new services or expanding services. But the order of magnitude is that our operating leverage should be able to cover for that.
Operator: Yeah. Rory at UBS.
Rory McKenzie: Good morning. It’s Rory McKenzie from UBS. Just following up, actually, that point on business investment, appreciate your comments about making very targeted investments into certain areas. But total headcount only grew about 0.5% this year. With year one of the plan done, do you think you will need to accelerate growth headcounts and your lab network over the plan or is it still more about mix and optimizing the services? And I guess related to that, Connectivity & Products divisional margin was slightly down this year. Is that showing that tension between reinvestment and operating leverage? And then just to come back on the M&A again, we haven’t seen large scale consolidation in the sector for well over a decade, even at a divisional level. So can you talk more about how you evaluate risks of larger deals? In service sectors, we’re typically concerned about revenue dissynergies, portfolio overlap. So I appreciate you can’t comment specifically, but how do you go about assessing those when you look at what could be a transformative and disruptive deal? Thank you.
Geraldine Picaud: Right. Maybe I’ll take the last one, and then Marta, you can take the point on C&P, which obviously we keep investing in growth. That’s clear. On M&A, we obviously study every aspect and that’s important to consider everything you mentioned. With regards to the deal that was in the news lately, we did thoroughly study that opportunity. I think it’s a tremendous company and we looked at all aspects. It’s a fairly complimentary and everything was looked at. You -- again, what I said is that we will continue, obviously, to pursue our M&A bolt-on. That’s clear. That’s part of our Strategy 27. It’s very much part of our DNA. So that’s something we will do and it’s very highly synergetic, easy to integrate. And on the large deals or larger deals, if they may occur, we will always appraise carefully the risk of integration, the execution risk. But we will also look at consolidating and having an active role in the consolidation of the industry. We can’t remain passive.
Marta Vlatchkova: And on the question about headcount, so the leaner operating model was aiming to reduce our overheads to make us leaner. So this is, and I can confirm, we have a steady decrease in the headcount in overheads. Now, have in mind that we do bolt-on acquisition. So those that we just acquired, the 11 plus another three already in 2025, this is already more than 600 people of new colleagues coming and joining us and you have a business fundamentally growing by 7.5% organic growth. So it needs, it’s a people business for a big part of it. So we are really aiming to grow people where the business is and not to grow headcounts in overheads. On the other question regarding the C&P margin, it remains a very strong margin, and again, these are the translated numbers in Swiss francs. So if you had to look at it in individual currencies by country, actually there is a slight improvement.
Operator: Neil from Redburn.
Neil Tyler: Good morning. Thank you. Neil Tyler, Redburn Atlantic. Two divisional questions, please. Firstly, Health & Nutrition margins in the second half of the year were up significantly, very impressive. In the past, that divisions had some margin volatility related to sort of specific product contracts. To what extent is the margin improvement more general operating leverage compared versus new specific contracts you called out, biopharma testing as benefiting from some new products there. And then secondly, in Natural Resources, that division certainly confounded my skepticism over the last couple of years and it looks like sort of metallurgy testing is the area that’s growing very, very quickly. And can you help us understand to what extent you’re offering it’s sort of superior to what your clients were doing in-house previously, because that seems to be the sort of the trend is that the work’s being sort of more outsourced in that field? Thank you.
Geraldine Picaud: Yes. Thank you. Thank you, Neil. So, yes, you’re right. In metallurgy, we’re seeing much more demand, much more demand on critical battery metals. We see that a lot is -- a lot of business is coming from Latin America from that standpoint and also Canada. We have a recognized expertise in testing all these critical metals for batteries and that we’ve seen the demand very, very strong across the year with services that are becoming more technical. The offering is enlarging. So that is also helping to boost margin and growth. We grew double-digit this year in metallurgy. So it’s a good spot. In Health & Nutrition, we’ve seen a strong recovery in H2. You’re right, the growth was above 9% in H2. So it’s really a strong growth. That obviously brings operating leverage in the labs and that brings also higher margins.
Operator: James from Barclays.
James Rose: Good morning. Two questions, please. You’ve obviously pulled forward your cost savings of CHF150 million to by the end of 2025. Could you talk about how you see a potential cost savings beyond 2025 and the potential for margin growth beyond natural sort of organic leverage or organic drop through on the operating margin? And then secondly, what was the balance of volume versus price in Q4 and how do you see that developing through the year? Thank you.
Geraldine Picaud: Do you want to start with the pricing and volumes, Marta?
Marta Vlatchkova: Yeah. Out of the 7.5% organic growth for 2024, we are back to the 50-50 I shared with you already in H1 and Q3, slightly above 50% in pricing. Yeah, so we are, all-in-all, making sure that we are able to pass on at least inflation to our customers and then drive the mix up in terms of the services we are offering.
Geraldine Picaud: Okay. And beyond the CHF150 million, you want more, right? We will continue to focus on the right market segments that are margin-accuratives and that are also growth-accurative. We have plans of bringing more efficiency to the organization that will materialize beyond 2026. So, all the acquisitions also, we are doing are margin-accurative, so that will also reinforce income into play, obviously. Just coming back on the sustainability and the fact that there might be less appetite around sustainability, I want to have you remember that the demand comes from the final client and that’s why our market does not change the target. The targets on sustainability and the awareness is intact. That’s there. And the demand comes from the final client. The final client wants to make sure that the chips they buy are secured and it’s made properly, the textile, same things, and that has not changed. So, the consumer demand is still intact.
Operator: Remo from Helvetische Bank.
Remo Rosenau: Yeah. Thank you. Remo Rosenau, Helvetische Bank. Can you tell us anything about the failed merger discussions with Bureau Veritas? I mean, I think of questions like, who were the driving forces behind it? Who approached whom? Why did it not materialize at the end of the day? And are you personally rather happy or unhappy about the outcome?
Geraldine Picaud: Remo, I -- thank you for the question. I think it weighted -- it was a great opportunity. We had to study it and we did study it. But in the end, we could not get there and the conditions for success, we’re not there, that’s it. We are bound by confidentiality agreements, so I will not comment further. And what, I like to talk about deals I do, not about deals I don’t do.
Remo Rosenau: Okay. Well, it’s worth a try.
Operator: Tom at BNP.
Tom Burlton: Thanks. Yeah. Tom Burlton, BNP Paribas Exane. I have two questions on the regional growth. One is coming back on a question that was asked earlier around Asia and sort of relates to Connectivity & Products as well. Just that acceleration, trying to get my head around the acceleration in Q4 that we saw in Asia in Connectivity & Products. Can you just be clear, was there any pull-forward of demand around sort of anticipation of tariffs coming in or other one-off items, or I guess, another way of asking that question is do you see the growth there in Connectivity & Products in Q4 as being sustainable as we look into 2025? And then the second one on Latin America, a question around price versus volume. If you can just split out the volume versus sort of price or inflation contribution there, please?
Geraldine Picaud: Okay. So on the -- I’ll take the growth in C&P, and Marta, you will comment on North America, right? So, yes, we do see the sustainability of our growth in C&P beyond Q4. You’re right, Q4 was exceptionally strong and the growth of C&P was double-digit in Q4. So it was a very strong growth of C&P, notably in Asia, obviously. But we do see -- there’s no sign today that tells us that this should not continue as we are embarking in 2025.
Marta Vlatchkova: And maybe to reiterate the resilience, you have seen our business lines. You saw Health & Nutrition, particularly in pharma, weaker in H1, recovery coming in H2, Natural Resources stronger in H1 compared to H2, then C&P the other way around. So it allows us really to continue consistently delivering high growth.
Geraldine Picaud: Okay. North America, price and volumes, Marta?
Marta Vlatchkova: Yeah. No. The question was on LatAm, the split between, right?
Geraldine Picaud: No. I think it -- yeah. Oh! LatAm, sorry.
Marta Vlatchkova: Yeah. The split versus -- volume versus price of the 17% organic growth. It is fair to say that around 4%, 5% was growth -- volume growth and the remaining was offsetting the high inflation we see there.
Geraldine Picaud: To mention that we have a strict, we’re applying strict accounting principles when it comes to hyperinflation.
Marta Vlatchkova: Oh! Yes.
Geraldine Picaud: The hyperinflation countries are capped. We don’t book them fully.
Operator: Arthur from Citi.
Arthur Truslove: Thank you very much. Arthur from Citi. So a couple from me, please. Firstly, just going back to the margin guidance. So I just wonder what have you factored in for your FX headwind? And if you were to take spot rates today or very recently, what would the headwind to margin be on that? Second question, I guess, particularly focused on the Connectivity & Products, but I guess it applies anywhere else as well. Can you talk about areas of the business that have underutilized lab assets? I guess Health & Nutrition would have been one area where there would have been a bit of that opportunity and I thought there might be some in Connectivity & Products, given that the margins are still somewhere below peak levels. And I just wondered if you could talk about that a little bit as well. Thank you.
Geraldine Picaud: We’re always optimizing the use and the utilization rate of our assets. And when we see a decline in demand, then we readjust the setup. We are in a fixed cost business, so it’s not rocket science. When you have lower demand, you have to decline or decrease your fixed cost in order to protect your margins. We’re not in this case at all, but we are continuing to rationalize the network. You’ve seen that in a Capital Market Event when we presented the hub-and-spoke model. So that’s very important to us to continue to manage and operating our assets as best as possible. So that’s for the lab utilization. Again, when it comes to our guidance, we said at least and the at least is for a reason, right? And the reason is a ForEx. And I don’t want to speculate on whether the favorable ForEx that we are enjoying today in January is going to last for 12 months. We don’t know what we don’t know. So there’s not going to be any speculation here around what the ForEx might be for the year. But we are conservative, as I said it, we are conservative when we do the at least 30 bps and we prefer to be on this side with starting the year. We have the last set of questions.
Operator: So it’s Arnaud from CIC.
Arnaud Palliez: Thank you. Arnaud Palliez, CIC. Two questions on innovation. The first one, this is -- I’m wondering why with development of digital and AI, why CapEx remains rather stable as a percentage of sales. So I’m wondering if most of the group innovations comes from the bolt-on acquisitions. That’s the first question. The second one is about can we quantify the type of productivity gains we can expect from this inside the group in the coming years?
Geraldine Picaud: Sure. So in terms of digital and AI, there are CapEx. But as we said, we’re now really focusing the CapEx or allocating the CapEx to the right business segments and the right innovation project that we want to foster and that’s also why this margin guidance is what it is. It’s because we want to also have some firepower, some cash to be able to be reinvested into innovation, because we know this is critical for the future. So that’s what we do. So the lower CapEx you see doesn’t mean that there’s not higher in what we want to invest, especially in innovation, in AI, as you mentioned, in digital and we complete it with acquisitions. That’s also true. When it comes to productivity, we have several projects ongoing and we’ll speak about it in due course. But obviously, it’s our duty to have and generate operating leverage to have the best way to operate, to have the most efficient organization and we want to be agile. There’s nothing written stone anymore. We want to be agile. Together with the ExCo, we are designing the best organizations to be fit for purpose. So that will continue. We might have time for a last question.
Operator: Suhasini from Goldman Sachs.
Suhasini Varanasi: Hi. Good morning. Thank you for taking my questions. Just two for me, please. How should we think about phasing of revenue growth over the course of 2025, because it feels as though your Assurance Business might need a bit of time to see normal trends and Consultancy. And maybe you still have some impact from the exit of low margin contracts. So if you could just help us understand that. And the move to Zug, do you see any implications for group corporate tax rate for 2025? Thank you.
Geraldine Picaud: Good question, Suhasini. Maybe you take the first one over the phasing of the growth for 2025. Marta, do you want to take that one?
Marta Vlatchkova: Yeah. So on BA and especially on Maine Pointe, the baseline comparatives we were commenting earlier on, we expect Q1 to still remain tough. Q2, we will see the first positive sign. So it’s -- yeah, your assumption is correct. And as far as the low margin contracts is same, it impacted more our H2 this year. So we’ll still have it, although to a lower extent in H1 2025.
Geraldine Picaud: So with regard -- oops, sorry. Go ahead.
Marta Vlatchkova: No. No. It’s okay.
Geraldine Picaud: Okay. So, with regard to the move, look, the reality is that our headquarters in Geneva are not fit for purpose. They’re much oversized. It’s too large for us. It’s no longer fit for purpose. So we have identified a possibility to relocate, possibly in Zug. I want to say that the business case is still work in progress. So we’re working on it. And should it lead to significant savings and improvement? Obviously, it will still have to be validated by CAGM 26th of March. So more to come in due course. Well, that was the last question. So I want to thank you all for your participation and coming here to Geneva to listen to our 2024 full year results. So thank you again. Thank you, everyone.